Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Freeport-McMoran First Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to Ms. Kathleen Quirk, Executive Vice President and Chief Financial Officer. Please go ahead, ma'am.
Kathleen Quirk: Thank you, and good morning, everyone. Welcome to the Freeport-McMoRan First Quarter 2019 Earnings Conference Call. Our results were released earlier this morning and a copy of the press release and slides for today's call are available on our website at fcx.com. Our conference call today is being broadcast live on the Internet and anyone may listen to the call by accessing our website homepage and clicking on the webcast link for the conference call. In addition to analysts and investors, the financial press has been invited to listen to today's call and a replay of the webcast will be available on our website later today. Before we begin our comments, we'd like to remind everyone that today's press release and certain of our comments on the call includes forward-looking statements and actual results may differ materially. We'd like to refer everyone to the cautionary language included in our press release and presentation materials and to the risk factors described in our Form 10-K and subsequent SEC filings. On the call today are Richard Adkerson, our Chief Executive Officer; Red Conger is here; Mark Johnson is on the line; and Mike Kendrick is also here. I'll start by briefly summarizing our financial results, and then we'll turn the call over to Richard, who will be reviewing our recent performance and outlook using the prepared slide presentation materials that are on our website. As usual, after our prepared remarks, we'll open up the call for questions. Today, FCX reported net income attributable to common stock of $31 million, or $0.02 a share in the first quarter of 2019. After adjusting for net charges of $36 million, or $0.03 a share which are detailed on page -- roman numeral VI of the press release, adjusted net income attributable to common stock totaled $67 million or $0.05 per share in the first quarter of 2019. Our adjusted earnings before interest taxes and depreciation for the first quarter totaled $778 million. A reconciliation of our adjusted EBITDA calculation is available on page 28 of our slide deck. Our sales for the first quarter totaled 784 million pounds of copper, 242,000 ounces of gold and 22 million pounds of molybdenum. As expected our sales volumes were lower than the year ago quarter associated -- primarily associated with the transition at the Grasberg mine in Indonesia. Our copper and gold sales were approximately 5% lower than the January 2019 sales estimates of 825 million pounds and 255,000 ounces of gold. This reflects the weather impacts at the events that we had at El Abra during the quarter, which normal operations have now been restored, unscheduled maintenance at one of our North American sites and the timing of some shipments from Indonesia. Our quarterly average realized price for the first quarter was $2.90 per pound. That was slightly below last year's first quarter average price of $3.11 per pound. And our gold realized price of $1291 per ounce was slightly below last year's first quarter of $1312 per ounce. Our consolidated average net unit cash cost net of byproduct credits was $1.78 per pound in the first quarter of 2019. As anticipated the unit net cash costs were higher than the first quarter of 2018 average of $0.98 per pound and that primarily reflected the lower sales volume from Indonesia. We generated operating cash flows of $534 million in the first quarter and we funded capital expenditures including capital expenditures associated with our underground development and with the Lone Star development totaling $622 million. During March, we redeemed all of our outstanding notes due 2020. That was $1 billion in debt redemption during March. We ended the quarter with $2.8 billion in consolidated cash and $9.9 billion in consolidated debt. We had no borrowings and $3.5 billion available under our revolving credit facility. I'll now turn the call over to the Richard, who will be referring to our slide presentation materials.
Richard Adkerson: Good morning, everyone. The first quarter for Freeport was really straightforward. We are pleased to report that we are on track with our plans that we discussed at our last earnings call and across the board our business is going in a normal fashion. As a result, we haven't made any significant changes to our operational outlook and our important initiatives that we have that we're working on these two years of transition at Grasberg are proceeding as scheduled and as planned. This is the first quarter of those two years. And as we look forward to the ramping up Grasberg to sustainable levels, it's going to be a good time for our company. A note, we just published our new annual report and it showcases our assets the strength and quality of our geographically diverse portfolio of mining assets and the inherent fundamental values that these assets provide. Going forward and looking forward we have a very clear strategy that we are confident will grow value for shareholders. The important accomplishment we achieved in recent years to strengthen our balance sheet to reach a resolution of our longstanding issues on our contract in Indonesia and providing some clear-cut long-range opportunity to operate in a stable fashion really position us to deliver on this commitment to build values for our shareholders. Our 2019 priorities as part of the strategy is listed on page 4 of the slide deck. Here at the company we are laser focused on executing these priorities during 2019 and are diverting any plans for major new capital investments or looking at M&A activity because we are confident that success -- if we are successful and we believe we will be in achieving these priorities that that's what's going to drive the future values of our company. In Indonesia, the ramp-up of the underground mines are going well proceeding on schedule. I'll cover other milestones later in the presentation. In the Americas, we're really focused now on productivity cost control and discipline across all of our operations. We're pleased with the success that Red Conger and his team are achieving. In that regard our Lone Star project is on schedule and it's going -- it's not a huge capital investment but it's a profitable one. And we continue really to be encouraged by exploratory drilling and analysis results for this asset, which we believe has the outlook of growing to a world-class resource. We continue to study, evaluate and rank potential future growth projects to establish long-term value opportunities for our company. But as I said, for the next couple years, we're in the study mode as opposed to the committing capital mode. The success on all these objectives combined with what we expect to be a positive future copper market environment, and that's a consensus across the industry will provide values for our shareholders. Turning to page 3, we list out the attributes of our company that have been consistent: leading copper producer, responsible operator, great set of long-lived assets that can be operated in an attractive cost, structure, the portfolio. It’s difficult to -- it would be difficult for anyone to replicate. We've got significant current production volumes, which we can continue by managing our existing sets of assets. I mentioned our potential future growth options. And we've got a proven track record for superior execution. Since acquiring Phelps Dodge 12 years ago, we've had success. We've managed major expansions of our assets. When the time was right, the expansion at Cerro Verde improves a prime example of that. But we also, in two phases built great mine in the Congo with Tenke Fungurume. We expanded Morenci. We expanded our Climax mine. And we've shown what we can do in terms of execution and building assets, and in operating assets. And we have a benefit for our company that's really a significant one. We operate all the mines that we have interest in. And that allows us to share expertise to find things that work in one place, and spread it across the company, and to be able to allocate resources people equipment, supply chain issues on a company-wide basis. With the steps, we've taken over the past three years, we are now financially strong. We'll get stronger. We are positive about the outlook of the copper business, and seen nothing in recent developments to change that view. And we have a clear strategy of building values for the shareholders. I previously referenced a slide on page four that talks about what we're going to be doing this year, and looking into next year. Focused on the transition at Grasberg in the Americas, productivity cost controls, and also in Eastern Arizona advancing the Lone Star project, and assessing long-term opportunities. And so, we're confident about what we're doing. Looking at an operations update in North America, we are making progress in this productivity cost control management. We're using advanced analytics. We started a project at our Bagdad mine as in effect a text case. It's been very successful in terms of using -- it's doing things that we always knew how to do, and we had a team to do it. What we're doing now is using data capabilities to measure things, and respond to them very quickly. You hear a lot about this across all industries. So this is not anything that's different, but applying it in a business like ours is not something that people intuitively think about. We brought in McKinsey and other outside experts to work with us. We're really encouraged by what's happening in Bagdad now. The next stop is going to be Morenci. But across the board, we're going to be using this big data analytics to help make our business better, reduce our costs, improve productivity. In Cerro -- in South America, the Cerro Verde mine continues just to excel. It's exceptional. The mill, which was originally designed to add to our 120,000 tons per day existing facility, 240,000 tons today is operating well over name play continues to have opportunities to further improve. And so, that has us focused on de-bottlenecking the rest of the business to take advantage of these processing facilities that we have. Our volumes were off in the first quarter in the Americas. The principal reason for that was at El Abra, the driest place in the world. I mean Atacama Desert this is at altitude moisture just doesn't get across the Andes to this part of the world. But in the second quarter, in a week's time -- in the first quarter, in a week's time, we had 10 years' worth of rain at this site. 10 years' worth of rain. It was a major flood event. We were out 35 days. The team responded very well to restore our operations. And now we're -- by mid-March, we're up and running again in a normal fashion. We also helped the people in the local community. It was an extraordinary event that had a big impact. We also had a sales impact, because we were pushing a turnaround at our Miami smelter in Arizona. It's part of our productivity where we're trying to extend the time before we started the turnaround. I think Red, it was 10 days or 15 days before we were going to shut down anyway. We had an event in the furnace, and that knocked that smelter out for a period of time in the first quarter. So you see there's a difference between our production numbers and our sales numbers, and that was because of the cut-off to the marketplace we had because of this event at the smelter. It's up and running again. All those volumes are going to be going through. It shows up in our unit cost numbers, because we had lower volumes, lower sales volumes. And so, otherwise our costs were pretty much in line with what we were looking for. In Indonesia, Grasberg, we're competing the final phases of the Grasberg open pit. Our plans call for that to happened midyear this year. We may have an opportunity to extend that. It's very high-grade material, but it's an issue of where we're focused on the long term. We're going to do this safely. And the underground ramp-up is proceeding as planned. So this is what's going on with us. On slide 6, we have these efficiency measures that we're taking through using data innovation. I mentioned the Bagdad team that we formed across our board using our metallurgists, our operators the process control team. We've got big data experts from our organization and from the outside. We're using this information technology to do very basic things about running the mill, making sure that we have, the right grind for the right ore dispatching in our mine operations. Just bringing all the basics together, with using information technology to make us a lot better, and we're really encouraged by the initial results at Bagdad. We have a 12% increase in mill throughput. We've increased recoveries. All this doing without much capital being put into it. So it's very profitable. As I said, we're now taking it to Morenci, and we'll be using our information that we have across the board. And if we are able to achieve, which we think we will be a 10% increase through productivity measures, that's equivalent to adding 20 million pounds of copper a year annually with virtually no capital. So we want to continue to use technology to standardize our systems and processes, and to help us achieve this kind of meaningful addition to our volume. Lone Star is really taking shape. Those of you, who follow us, know this is a long known resource. It's adjacent to our Safford mine, which was just being -- beginning production 12 years ago. It's original oxide deposit. Resources are being depleted. This is right across the mountain ridge from Morenci. And so we are now in the phase of mining a leach oxide deposit, that we will be able to process at our excess facilities at the adjacent Safford mine as that mine wraps down. So this allows us to profit from this oxide cover over a major sulfide resource that we're working to understand. And it's an $850 million project that we spent, just under $400 million of that by the end of the quarter. It's got very favorable economics. And will give us 200 million pounds a year of copper, with expansion opportunities for the oxide. So, we're doing that. But the really exciting thing long-run is this is serving as a stripping exercise over what we are seeing as a major sulfide resource. And we've shown some drill holes reserves that we're seeing. And we're beginning long-term plans about how we would develop that resource. It would be a major mill investment. But, literally as we look at this it has the potential of being another Morenci which is the flagship mine of our operations -- or the industry's operations in North America. We're really excited about it. I mentioned that Cerro Verde with this outperformance by the mill that we're having. You can see with the 360,000 tons nameplate, we're operating well above that. Indications are we can continue to do that. And so that means we're processing 15% more ore than originally designed. And now we're looking about how to feed the mill, how to make the movement from the mine to mill more efficient, but also how to attack the mine in a way to get more ore to it. So, we began this process just three years ago early 2016 after a $4.5 billion $5 billion expansion project that was completed at the end of 2015 going into 2016. So we're three years into it. It's improving debottlenecking. It's a great asset. And we're real proud of it. So, PT-FI underground transition. How long we've been looking for this. It was something for me. My first trip to the job site was -- in Papua was in the first quarter of 1988 when we were just drilling the original drill holes. Now we're seeing that pit being completed major activity there. And now, going forward, just by the end of the year we'll be totally underground with the Grasberg Block Cave which is the same ore body extending beneath the open pit. It's got about $1 billion tons of reserves at 1% copper and 0.72 grams per ton gold on average. As we've been working in recent years on all these matters we've been working with an Indonesia and going through all the issues there Mark Johnson and his team have really done a great job in investing in the infrastructure to get us in place to kick this mine off as we're doing right now. So we are -- we're making great progress in the first quarter. We've been focused at the Grasberg Block Cave on expanding the cave and opening drawbells. We had 11 drawbells opened by the end of the first quarter. One was blasted in December and 10 in the quarter. We're five drawbells ahead of schedule. Undercutting of the new face in that mine is proceeding, this is really two mines in 1, three faces going on in those two mines and this is ore that we've been mining now for 30 years. So it's the same ore. We know the chemistry of it. We don't expect any issues associated with processing and so forth. The adjacent mine, which is a separate mineralization feature altogether is the Deep MLZ mine. This is the latest deepest extension of mining in a Block Cave underground at Freeport began in the early 1980s. And after our work in the first quarter we're on target for development against a forecast to get this mine up to stream. It's been delayed because we encountered seismic events. In response to that, we -- our team which is very experienced and we brought a team of global experts into play have designed a program of using hydraulic fracking which has been used in South America, but not in our operations previously to precondition this harder than expected rock, so that we can promulgate caving in a normal fashion. To date, we've hydro fracked, 14 holes nine from the DOZ truck level and five from the undercut level. The seismic response to this has been positive. And so we are very encouraged about it. It's working so well that we are likely to build this into an ongoing feature in mining the Deep MLZ mine. Now, we are really taking this mine in two faces. There's a production block 2 which we are opening up the cave area to the west of the current cave. This provides a second separate working face. It will grow the hydraulic radius faster. And we'll be in better shape. And by doing this we're now on track of meeting our targets for ramping up this to meet our original targets. So, all of this is going well. We've got the really significant reserves there of these two mines. And we're on track to continue to achieve what we've set out to achieve and meet our plan. On page 10 -- slide 10, we have the ramp-up of the underground. You can see the impact of completing mining in the open pit in 2019. Mark and his guys are looking at perhaps getting a bit more out of the pit, but as I said, our focus is going to be how can we, get back up to sustainable levels on our timeframe. So after two years of ore volumes we will begin ramping up. And you can see how that works with the Grasberg Block Cave beginning this year and then basically doubling every year up to 130,000 tons a day. And that will be our primary asset going beyond 2023. The Deep MLZ mine is also ramping up going from 27,000 tons per day in the mine in 2020 to almost 60,000, 80,000 and long-term 80,000. So, we're on track to get these sustainable volumes coming out of these mines, feeding our mill at over 200,000 tons per day which is a major accomplishment in terms of having large-scale underground mining. And we're on track to get it done. There's a lot of talk about copper markets. As usual we were down in CESCO, talked with everybody down there. So, we have seen nothing to change our fundamental view about, the positive outlook from a fundamental standpoint. When you look at the long-term reduced percentage growth in China, but the sheer amount of copper that would be required for that economy with the mature markets our current business in the United States has been strong. Over the past couple of years we supply about one-third of the downstream copper to the U.S. market from our mines in the U.S. and it's really, really tight. But longer-range, you're looking at what's the emerging markets are going to require. You certainly see that in Indonesia. I mean, I spent a lot of time in Jakarta and just watching the cranes and seeing the growth in that economy and that's true all across Southeast Asia into Latin America and ultimately Eastern Europe and Africa. So it's a -- we feel very confident about the fundamentals of copper it's qualities and its need for the world's economy. Things that will add to it over time in terms of the growing electrification of the world, the use of alternative energy, electronics and everything we do electric vehicles and so forth, we feel very good about the demand for copper and the project pipeline remains thin. And we know as an experienced operator what it takes to develop new projects. And we also know that others in the industry are going to share our disciplined approach to what we do going forward. So we believe that a significant long-term structural deficit remains in place and that our assets and their ability to address this deficit we're going to create great values for our shareholder. For the year, we are looking at producing 3.3 billion pounds of copper 800 million ounces of gold, just under 800 million ounces of gold -- 800,000 ounces of gold and just under 100 million pounds of molybdenum. Site production costs are going to be higher than the long-term sustainable amounts because of lower volumes with the Grasberg transition. And our operating cash costs depending on the price of copper will come close to funding our CapEx over these two years. And our current dividend may fall a bit short again depending on the price of copper. But the company is financially strong and certainly has the financial flexibility to deal with that. And then coming are details for our production coming out of the two years and seeing the significant increase in copper and gold sales as we ramp up the Grasberg Block Cave and the Deep MLZ will provide substantial cash flows and that's shown on slide 14 where we have -- where we show the cash flows for the transition year of 2020 and averages for the next two years. You can see at $3 copper, it goes from just over $4 billion to $7.5 billion and if copper prices are higher that delta gets much higher. So we're set up to have a situation of really benefiting from the ramp-up in underground and Grasberg having potentially good copper markets. We're focused on keeping a strong balance sheet. We should have opportunities to further reduce our debt in the future. We're going to be disciplined about investments. For the time being, we'll maintain our current dividend. The board is looking forward to days in the future when we can increase it and believe that we're real well positioned. It's been a good quarter and we're going to be continued focused on execution. So with that, we will open the line up for your questions and look forward to hearing them.
Operator: Ladies and gentlemen, we'll now begin the question-and-answer session. [Operator Instructions] The first question comes from the line of Piyush Sood with Morgan Stanley. Your line is open.
Q – Piyush Sood: Hey guys, good morning. A couple of questions. First one, the 2021 outlook on costs of $1.30, what are you assuming for export duties out of Indonesia? Do you see them falling versus the 5% level right now? Or are you holding them at 5%?
A – Kathleen Quirk: Once we get to a certain level of construction progress on the smelter they fall to zero. And so we're expecting during that period of time that our export duties will fall away in Indonesia.
Q – Piyush Sood: So that would mean that you probably hit the threshold which take these export duties down to zero. So maybe the construction on the smelter -- or at least the progress on the smelter has to start happening soon to meet that timeline?
A – Richard Adkerson: It's already started. We had a commitment to build the smelter with our December agreements. And with that agreement we're full. As I said I think at a conference we're full-throttle on the smelter development. We've got a site, we're working with engineers. We've met the initial targets that the government had set. So we are in progress with it right now. We didn't start it in earnest until we got the agreement with the government in December. So we had done some initial prep work, but now we're full-throttling into it.
Q – Piyush Sood: We read that PT Amman the owners of Batu Hijau will likely go ahead with their own smelter, so they might be less inclined to partner with the PTFI. Is that something you would comment on? And if that's true, would you be open to other international partners?
A – Richard Adkerson: The answer is yes to both of those questions. We have a great relationship with Amman people. We've known them for a long time. We had discussions about doing something together and we still may. At the present time, they've concluded, they need to do something at Sumbawa. We looked at that decided it didn't work for us. So we're focused on East Resik and continue to talk with them about whether they might join us there. At the present time that's not the plan. And yes, we are talking with potential other international investors who might have an interest in the offtake.
Q – Piyush Sood: And last one for me. The reduction in gold guidance in 2021, do you think that's largely just a rounding of the total? Or is that because of some changes to mine planning?
A – Kathleen Quirk: No that's actually just a rounding change. We had just a slight -- real slight change in gold output which rounded from 1.6 million ounces to 1.5 million ounces. So wasn't a -- and the same thing with the capital expenditures for this year. It was less than a $50 million change, but just because of the rounding it rounded up.
Q – Piyush Sood: All right. Thanks for the color and all the best.
A – Richard Adkerson: Thank you very much.
Operator: The next question comes from Matthew Korn with Goldman Sachs. Your line is open.
Q – Matthew Korn: Hey good morning Richard. Good morning Kathleen.
A – Richard Adkerson: Good morning.
Q – Matthew Korn: It's Matthew Korn here. So you've given us a walk to your cost expectations for 2021. What kind of indications can you give us around 2020? Because I'm looking at your slide 14 in which you lay out the EBITDA levels indicated and I see that what you now expect for 2020 copper at $3, looks a lot like what the average last quarter for 2019 and 2020 looked like. So how can we think about -- the volumes aren't going to increase that much in terms of Grasberg, but if there -- should we see any substantial cost improvement that will actually flow through?
A – Kathleen Quirk: We do expect to see lower unit costs in 2019 -- I mean 2020 versus 2019 stepping down somewhat not getting to $1.30 like we talked about for 2021, but it will step down some during 2020.
Q – Matthew Korn: All right. And then I...
A – Richard Adkerson: And I'll just say with having the new structural deal, with having this progress we're making on the underground advancement, Mark has been working with us and his team is really going to be focused on cost efficiencies at Grasberg and we think there's some opportunities there. We know there are opportunities there and we're going to find them.
Matthew Korn: Well looking out at the PT-FI plan and looking out at the expected production levels at Grasberg, it's always good to see that kind of stability. I did see some slight changes in the underground ramp for 2020. Looks like there's a little bit of decline in throughput and per ton -- or ton per day throughput, but it doesn't look like that's actually DMLZ it's looks like it's actually more DOZ and Big Gossan. Is there anything in particular driving that slight reduction in ore milled?
Richard Adkerson: Well, we do have a program of updating all of our outlooks every quarter and so you're going to see quarter-by-quarter. So, what we try to avoid is having any kind of big annual review and not reporting things there. So, as DOZ is a very mature mine and the Big Gossan is -- it's not a Block Cave mine. You're going to see some adjustments to their DOZ throughout its life. It's had issues with wet muck and we really kind of led the industry in developing remote-control mining in response to that. They've had some issues like that. So, these are -- Matt these are just normal adjustments that are typical for operations review. There's nothing fundamentally that's changed right. Mark Johnson is in Indonesia and is on the call. Mark do you have anything to add to that?
Mark Johnson: Yes, Big Gossan was unchanged. We're still targeting ramping it up to 7,000 tons per day which is the nameplate. We'll get to that in the third quarter of this year. DOZ we had a slight reduction in what we saw. Based on our -- some of our recent experience on ramping up the automation systems, we had a peak of 43,000 tons a day that we've reduced to 37,000. We've had some real breakthroughs there. We're continuing to be optimistic on how we're applying the technology into DOZ. But we're being just a little bit more cautious on the out years.
Matthew Korn: All right, fair enough. That's very helpful. Appreciate. I'll pass along guys.
Richard Adkerson: All right. Thanks Matt.
Operator: The next question is from Curt Woodworth with Credit Suisse. Your line is open.
Curt Woodworth: Hey good morning Richard, Kathleen.
Richard Adkerson: Good morning.
Kathleen Quirk: Good morning.
Curt Woodworth: First question is just with regard to I guess the hydraulic fracking at Deep MLZ. You talked about adding a third unit there. Can you just talk about what the I guess the milestones you expect to achieve there over the next several quarters? And then you mentioned starting to produce in Block two over the second mine area which extends the radius. So, I mean is that is effectively that giving you more cushion in terms of hitting your production targets? Or if you could just elaborate on kind of exactly how that provides confidence to the target? Thank you.
Richard Adkerson: Well, it's those steps that allow us to meet this plan. So, it's -- what we've done is we began this process and are now seeing good positive results for it and we're continuing. We had one issue that had some maintenance problems with it and so we bought a new unit to bring it onstream. And so all of this is what goes in to enable us to meet the plan. And the report today is that as we stand here it's working as we had hoped. Now for us to achieve the plan we have to continue having that progress day-by-day and we're very encouraged about it. So, there's not anything that I would describe as cushion but it's what's gone in to enable us to present this plan and that's our expectation. We have confidence but we recognize we're in a show-me time so we've got to we show ourselves show the world that we can achieve this plan. The really good news is we've had a good first quarter starting this year off in doing just that. I don't know if that answers your question or if anything is in specific Mark can address but--
Curt Woodworth: No. Yes, that's helpful. And then just second question on I guess how you think about sort of your resource base and portfolio where there's a lot of strategic interest and relatively high private-party valuation multiples that's being paid for assets. Is there any potential that you see for monetization of assets or reserves or JV arrangements that could accelerate the deleveraging targets you have?
Richard Adkerson: Well we're very comfortable with really where our balance sheet is today. You look at what's happened with our bond trading and our relationships with our banks and so forth. So we don't feel any pressure to further reduce our debt. We will if copper prices stay reasonably strong if they strengthen as some expect we'll have cash available to further reduce our debt and we'll do that. But that's just a use of cash as opposed to feeling any pressure to do it. We like these resources for our own company's opportunities to create value. We have a partner at our El Abra mine. Codelco is a 49% partner at El Abra in Chile. We own 100% of a number of our properties here in the U.S. One of the great things about our company is we don't face income taxes on production in the U.S. for a very, very long time. The combination of a tax loss carryforward from an oil and gas deal and the new U.S. tax regime. And so that when you think about having development opportunities with zero tax and you look internationally and you've got significant taxes wherever you look that's a real opportunity for us. So, I -- from time-to-time, we approached people about who want to do something if it makes sense for us we'll do it. But so far we haven't reached that conclusion. We'll have an open mind but there's no pressure to do anything. We're very comfortable with our balance sheet.
Curt Woodworth: Great. Thank you.
Operator: The next question is from Chris Terry with Deutsche Bank.
Chris Terry: Hi Richard and Kathleen. A couple of questions from me. Just firstly on the second quarter numbers that you've guided towards. Those are down a little bit I guess on the update for the 4Q 2018. Can you just talk through some of the moving parts on that and the slight pushout to the second half of the year? I think it's around El Abra, Grasberg et, cetera. Is it around the export delays on Grasberg? Just a little bit more color on the second quarter. thanks.
Kathleen Quirk: We've got -- Chris this is Kathleen. We've got some -- just in our shipping schedule, we've got some concentrate inventory build at Grasberg planned during the second quarter. Potentially, those could move into the second quarter from the third quarter. But at this point in time, our shipping schedule shows that we've got some concentrate build during the quarter. So, it's really more of a shipment timing as opposed to anything else.
Chris Terry: Okay. Thanks Kathleen. And then just in terms of the comment on the export permit trying to increase the amount there. Is that -- that would only impact things say early next year or in that order, right? It's not a cap on an amount that you can ship per month or anything. It's a total amount for the year right? So, can you just give some color?
Kathleen Quirk: It's a total amount per year, but it was set based on our plan that we submitted to the government last fall, last October/November timeframe. And we're actually -- it shows a quota that's much lower than it has been historically, because we're in this transition. And we actually believe that we're going to produce more than that quota this year. So, we'll be going in to get a revision. That's partially why our shipping schedule is planned the way it is to give us time to get that revision. It's not a big revision we're looking for in these numbers, but we do want to try to build some flexibility in there because as Richard mentioned, Mark and the team are looking at some trade-off studies as to whether we can get more out of the open pit this year. And so that's something that we'll be looking -- evaluating kind of week by week. So we do have some upside to the numbers we believe, but we'll need to get a revision to our export quota. And it's annual thing, but it was based on a plan submitted last year and now we have some opportunities to increase it.
Richard Adkerson: And as a practical matter, we kind of wanted to see how this analysis goes about what we might be able to achieve. And the presidential election was just held in Indonesia and we didn't want to make any new filings until after that. So that's one of the -- part of the reasons of why we haven't acted yet to adjust the plan for the very positive news that we're having about having increased production.
Chris Terry: Okay. Thanks for that. And then the last one from me. You spoke about the smelter, I think in one of the earlier questions. But what should we expect in terms of any announcements on that in terms of financing or key developments for the Indonesia smelter? Thanks.
Kathleen Quirk: Right now, we are doing the engineering, the front-end engineering work. We've contracted with a third-party to do that study for us. We're doing some ground improvement work at the site. And we are evaluating potential partner and financing plans for the smelter. We don't have a significant amount of capital to invest this year. It starts to increase next year. So we'd like to be able to have some sort of financing plan in place by the end of this year, but those discussions are ongoing.
Chris Terry: Right. Thanks. Thanks, Kathleen and thanks, Richard.
Kathleen Quirk: Thanks, Chris.
Operator: The next question comes from David Gagliano with BMO Capital Markets. Your line is open.
David Gagliano: Hi. Thanks for taking my questions. I just wanted to focus in on the North American operation. They've obviously -- these assets have been around for quite a while. Typically, they're very predictable. This quarter volumes came in low, cost came in high in slag. I think the smelter issue in Miami I think. And then unscheduled maintenance maybe that's the smelter issue. You also mentioned implementing productivity targets efficiency measures and when I look at the full year targets they implied about a 10% rebound during the next three quarters in volume. So a long-winded question or a long-winded intro to my question which is can you just expand a bit on what the main issues are in North America? Are we running into more challenging or can you describe reconciliations cropping up, that kind of thing. Thanks.
Richard Adkerson: Yeah. Not of the latter, Dave. I mean, you look at the production number versus the sales number points to the smelter issue and it was really -- it was an unexpected event but it occurred right before we were going to have a shutdown -- a turnaround shutdown in any event. But we were down and so we just were producing things as expected, but we couldn't sell it because of this issue at the smelter. As you know these smelters are complicated assets and around the world you're seeing things like this. So this was not -- nothing to do, the ore -- the grades are there. We're improving in operations. We had 10, 15, 16 we had really scaled back maintenance capital as we talked about in earlier calls, really stretched our team. We've rebuilt that now. We've added to volumes in North America, South America's really going very well. So the thing you saw was that we did have a -- and it didn't have a major effect, but we had some maintenance issues that we had at our Chino mine in New Mexico which is -- it is an older mine. You go back five years ago, we didn't think Chino would be around. Now we've done some drilling and we may have a major expansion project there in our future, but our concentrator there was down 15 days. You'll have these things all along. You see in mines, but fundamentally our Americas operations are -- grades, the models are holding up. The team's getting better more efficient. And that shows up in our production numbers and the sales thing was a one-off deal because of the smelter issue.
Kathleen Quirk: Dave ...
Richard Adkerson: It was down 40 days by the way so.
Kathleen Quirk: We'll say just going back not just this quarter, but going back several quarters in North America you do see a trend of costs going up. And that really reflects the mining rate increases that we've done back in 2015 and 2016. We took mining rates way down to try to maximize cash flow during a tough time in the copper market. We've been ramping back up. Our mining rates and milling rates and that's had some impact on costs. As we look forward, we're really focused on bringing in efficiencies and containing cost and using technologies to arrest any increase in inflationary pressures, et cetera. So, we're really focused on this cost management, particularly in North America. We did have some diesel price increases and that's reflected in our updated guidance. The diesel price was up 10% 12% from our plan number. So we factor that into our new guidance and we factored in some of these issues which Richard was talking about in maintenance that we experienced in the first quarter. But this cost thing in productivity is really what we see being able to drive value in the U.S. because the more we can contain costs there the larger the resources. And that's why we're investing in these technologies to have lower cost better productivity and ultimately more value.
David Gagliano: Okay. That's helpful. Thank you very much. Just switching gears back to Indo and the smelter. The CapEx guidance, I think we've talked about this in the past. The CapEx guide 2019/2020s exclusive of funding for the smelter and given where we are now, can you just comment a bit on what you think CapEx will be in 2019/2020 for the smelter Freeport portion of the total funding?
Kathleen Quirk: Yeah. Well, just the 2019 ...
Richard Adkerson: One thing I want to make sure when we say Freeport, we're talking about the smelter being funded by PT-FI. Our current plan and you could conceive of a joint venture scenario, but we don't anticipate equity capital requirements out of FCX for the smelter. It'll be spread over a number of years as a PT-FI investment and we're a shareholder in PT-FI as is INALUM and so that's where the funding for this will go. If it's totally debt financed, as is likely to be the case that would result in incremental consolidated debt out of -- for FCX. But the cash requirements all would come out of PT-FI and it's all folded in to our December agreement with the government. So go ahead Kathleen.
Kathleen Quirk: Yes. I was going to say, the spend for this year and it's -- again, it's really ground improvement and continuing with the front-end engineering is less than $100 million. And as we get into 2020 and we don't have a specific number until the feed work is done, the front engineering is done. But we're estimating somewhere in the $500 million range next year. And as Richard said, we expect this to be funded out of PT-FI or with partners. And so, PT-FI would have a separate financing arrangement or a new project company would have a separate financing arrangement. So, as Richard said, we don't expect it to come from FCX.
David Gagliano: Got it. Understood. Okay. That’s helpful. Thanks very much. 
Richard Adkerson: Thanks, David.
Operator: The next question is from Orest Wowkodaw with Scotiabank. Your line is open.
Orest Wowkodaw: Hi. Good morning. Follow-up on Grasberg, it's just -- when I look at your mine plan here over the next couple of years, the part that really jumps out at me is that massive step up in 2021, where effectively you're calling for a 300,000-ton year-over-year increase in copper production. Just curious, how realistic you think that is and whether that kind of tonnage has ever been produced in the market from a year-over-year basis on -- from any kind of block cave. It just seems overly aggressive to me and trying to figure out what I'm -- I guess what makes you so comfortable with that and then maybe we can go from there.
Richard Adkerson: So it is totally realistic. I mean, we -- quite frankly we wouldn't present it in our plans. We have had experience with operating large block scale mines, as we've been doing managing pits since the early 1980s. And this is not just a single mine. The Grasberg Block Cave is going to have three phases to it. We've modeled all this with exactly what we have shown we could do with our DOZ mine, which was really the third phase of the development of the ore body that the Deep MLZ mine is the fourth phase. And that began in the mid-1990s when we brought in Rio Tinto that replaced the mine called the IOZ which was depleting and so over time we've shown what we could do. It's not a single mine. It's large numbers in the aggregate, but it's things that we've done and we have in fact three phases going forward in the Grasberg Block Cave, which I want to just go back to and say, this is the same ore that we've been mining. It's not deep under the surface like the Deep MLZ mine and this is basically doing what we've done before. The Deep MLZ mine, as I mentioned, has two phases and by having that second phase is going to allow us to meet our original target of getting up to full scale production in 2021. And it's the one where we've had to bring in this fracking and we're satisfied with the progress, but that's the key issue for us is that having this fracking to precondition the rock, to allow it to cave, as we've planned is what we are engaged in now. This has worked in other places. First time for us to do it at Grasberg. So rather than -- I would suggest, rather than thinking about this as having this one massive single mine that may lead you to think it's an aggressive expectation, is to break it apart and say, like, it is five different mines that we're doing. And Mark, do you -- and I'm not going to share to everybody. Mark is not an overly aggressive person when it comes to numbers. So, Mark, why don't you add some comments to what I just said?
Mark Johnson: Yes. And I think going back to what you initially started with Richard is, the ramp-up for each of these phases, GBC really is two block caves that share one set of infrastructure. Deep MLZ, as you mentioned, we have two phases that we'll be advancing at the same time. Both of them are based on actual ramp-ups that we experienced in the DOZ, as we ramp it up from 20,000 to 50,000 tons and it's very much driven by the undercutting rate and the amount of draw points that you can develop. And all of these, both the GBC and Deep MLZ, as we ramp them up, are following those empirical or historical experiences that we had. We are getting more efficient at both the undercutting and the draw point development. So we feel that we're well-positioned to ramp them up. The other thing, when you look on the volumes is just, particularly in the Deep MLZ, as we ramp up the tons, the -- we're really in the very sweet spot of the ore body. As we ramp up the tons in 2020 and 2021, copper grades are 1.65 to 1.7. So you're seeing not only an addition of tons, but the grade of those tons are quite high. GBC also is in very good grades as we ramp up in the initial years.
Kathleen Quirk: Thanks, Mark.
Orest Wowkodaw: Thank you for that. And just as a follow-up, more of an accounting question. Your environmental obligations and shutdown costs, there were $42 million this quarter. They seem to be kind of jumping around a fair amount. I'm just wondering if you can give us an idea of what we should anticipate those going forward on an annual basis.
Kathleen Quirk: If you look at the press release, Roman numeral VI, it shows that we did have a special item that was recorded in the -- an accrual that was recorded in the first quarter for our legacy costs. If you adjust for that number that -- the balance would be kind of a run rate. But we do have from time to time, this was a legacy item where we had an indemnification from an asset that Phelps Dodge had sold years and years ago and it met the cap. And so we had to accrue for it. But if you back that out, you'll see that on a run rate basis, that's where we'll be, except for these one-off items that we can't forecast.
Orest Wowkodaw: Okay. Thanks very much.
Richard Adkerson: And this is just like our mine plans. We review all of these legacy liability issues and our reclamation activities every quarter. We have a separate team with outside experts that's involved with that. And so they will, like mine plans, get adjusted as new conditions come into place. I will say that going into the Phelps Dodge deals 12 years ago, that was a huge concern for us. People wanted us to do an unfriendly deal. We decided not to, until we can do some due diligence on it. And over the 12 years, we've managed those costs to be less than in aggregate than what we anticipated. But it's a constant fight and issues come up all the time that we have to deal with. It's a major part of our business. So it's a reasonable question for you to ask.
Orest Wowkodaw: Thank you very much.
Operator: The next question is from Oscar Cabrera with CIBC. Your line is open.
Oscar Cabrera: Thank you, operator, and good morning, everyone. Richard in your prepared remarks glad you mentioned that you're going to take a sturdy mode for the next two years and then deploy – deployed additional capital for your older opportunities. As you're thinking through that where does adding value to shareholders in whether it be a special dividend or buyback how does that play into your thinking now?
Richard Adkerson: It's a use of cash. I mean, as we look forward with the strategy of not committing new capital now, if we have a scenario, which many people think reasonable where we have a good copper market two years out from now and we're ramping up production at Grasberg you see just how much our cash flows would increase with success in that ramp up. Even if we decide to sanction a new project after that time, and I say after that time any new project's going to take a number of years to invest in. And so in that scenario, we would have substantial excess cash for our company as we've had in years past. And we would look to further reduce our debt and then make decisions about where to set an appropriate long-term dividend. And if there's additional cash behind that, we have paid special dividends in the past or buy stock back. But it's the use of cash Oscar rather than have a planned strategy going into it. It's going to be based on the circumstances that we face in.
Oscar Cabrera: That's clear. Thanks very much. Then you piqued my interest with this additional production out of Grasberg in 2019. And I was under the impression that after the – you depleted the open pit that would be it. So I was wondering, if you can provide a scope of the increase that you could have in 2019. Does this go forward to 2020? And how do you achieve that? I believe Mark referred to grades in some of the block caves.
Richard Adkerson: Okay. So Oscar, don't think of this as open pit being depleted. I mean, depleted is when you have an ore body and you've mined the whole ore body. This is the same ore body that's going down below the limits of the open pit. We worked on this in the mid-90s. The design and optimal shape of the open pit. So as we make this transition the ore is still there in the pit. It's just in the future that ore is going to be mined in the Grasberg Block Cave. And so as we're pulling out of it, we have these geotechnical issues of the shape of the pit how to be safe, how to make sure that as we wind down mining there we're not putting anybody at risk. At the same time, we've already started promulgating the block cave in the Grasberg Block Cave. So this is a bit of a cat and mouse game. If we can get that ore out of the pit, as we're starting up the Grasberg Block Cave that's gravy. I mean, it's very high-grade. We're literally mining the road ramps that come out of that pit. The marketing guys they're going to – and we always knew this was going to be the case at this time. They're going to see what they can scrape out of that pit of high-grade copper and particularly gold ore. We've given you our best estimate. This would all be done. I don't think Mark there's any thoughts that this was extended beyond 2019, right? We're looking at potential excess in the second half of this year. Isn't that right?
Mark Johnson: Yeah. That's true. It's very small scale mining. We're doing 30,000 to 35,000 tons a day in this extension of the pit. As you mentioned, we're taking the ramps that were left in the final pit that were 40 meters wide and we're narrowing those. Those ramps are all in good grade ore, so it's a relatively small scale boutique-type mining that extends the life of the pit. The one thing that we're managing and we have excellent monitoring capabilities is as the cave develops at some point we're going to see some reflection of the cave activity in the high wall of the pit. And that is what will drive us away from this continued ramp removal. If it were not for the block cave underneath, we could do this conceivably into the early part of 2020. Our best estimate is, is that and what we've reflected in the forecast is the ramp removal will end in June. We've got plans that, if the monitoring shows that it's safe to continue we would continue that on a month-by-month basis beyond as long as the monitoring allows us. We don't intend to slow down the block cave development to try to maximize the potential from the pit. The value is truly in the block cave longer-term, that's our focus. The open pit mining is an auxiliary opportunity during the interim.
Oscar Cabrera: Okay. Great, Mark. Super helpful. And then the last thing if I may. In one of the notes for your 2019 operating estimates you state here that the 2019 sales assumes Indonesian government approval or increase of PT-FI export quota. Could you provide like a number for that additional scope? I think it was – you have a permit for 180,000 tons?
Kathleen Quirk: Yeah. It's – what's in our plan is very close to that. So it's -- we've got a little bit more in the plan today. I think it's 40,000 tons of concentrate or something. It's not a huge amount. But we do want to get some flexibility for these things that Mark is referring to so. But just to meet our existing plan it's not a significant number.
Oscar Cabrera: Thanks very much, everyone. Good luck.
Richard Adkerson: Thank you.
Operator: The next question is from John Tumazos with John Tumazos Very Independent Research. Your line is open.
John Tumazos: Thank you very much. If I could impose with two questions. First, it's very exciting Richard when you say Lone Star could be Morenci. And I know, you're not going to wait 100 years to draw it out. So the first question is, do you think that defining Lone Star in the sulfide is at 10 year $300 million project or a five-year $100 million project or faster in terms of firming up that 50 billion or 70 billion pounds? Then second question and forgive me for thinking outside the box a little bit. I remember when Freeport sold everything to just be Grasberg, because Grasberg looked so good back 25, 30 years ago. And this isn't a good time to sell everything and just be Lone Star, because the market's afraid of a gazillion things. It wouldn't give you a good price, if you sold the mine. Why not distribute Lone Star to shareholders or Safford to shareholders and have two pieces of paper where Safford is 100% owned in Arizona, you probably could have a smart tax-cut figure out how to preserve the tax shields that wouldn't pay taxes. And Lone Star alone might command over $5 billion of your market cap of $20 billion and based on the questions people are asking you they don't understand your company today.
Richard Adkerson: Yes well – 
John Tumazos: Excuse me for throwing all that at you, Richard but…
Richard Adkerson: John you never -- we worked 30 years together and the last thing I would do is expect you not to think out of the box. So that's – no, I appreciate your question and I understand your thought about it. So let me see. Going back to the first thing is…
John Tumazos: How long does it take to drill it out?
Richard Adkerson: Yeah, we are drilling it out. We have been drilling it out and we've upped our budget for drilling this past year. We're spending about $8 million a quarter. We are directing resources there away from some other greenfield efforts that we had and other things and we expect that we will have a good understanding of this ore body by early next year. And it's a question of drilling it out, developing high level models of what the -- going through that whole process that you're so familiar with I suppose and then doing metallurgical test work to see what's there. And so far you've see the grades, you've see what we've seen so far and it just keeps expanding in terms of its breadth and depth. And that's why we see it. And it's right there in the backyard of our total operation. I don't think it makes sense to take Lone Star itself out. We'll take on board this whole idea, but there's just these huge benefits of having this America's operations as a single business. And as I look what other companies go through in terms of dealing with joint venture operations and issues related to safety and all the things that go into it, I don't know if I should expect, I don't expect people just from a pure investment logic standpoint to understand just what a massive synergy that is for our company and what it is. So we're going to as I said focus on doing what we're doing the next two years. There'll be strategic opportunities for us to look at it in the long run but not now. And because we still you hear from the questions skepticism about our ability to upgrade. We're very confident, but I appreciate we're in a show me mode. So we need to get Grasberg in a position of where it's once again like it was when you said. I still remember, George Putnam died this past quarter. He was our Director when I first joined the company in 1989 that when we first saw what Grasberg was and we were making decisions. As you said we focused on that. We did. We shutdown everything, sold all these assets. That was a good year at my job when we first joined the company. It was the first three, four years we're selling assets all over the world. And George said, play the card that's dealt you. He said that at one of my first Freeport Board memories and that was Grasberg was dealt to us. We made a decision. This was a company that five, six years earlier it passed on Escondido and let Rio Tinto vibe because of political risk in Chile. Anyway Kathleen's telling me to go on. Those are all war stories. So we understand what you're saying. We're going to have a broad mind about what we do with this company but for two years we're going to have a focused mine. We're going to do what we just laid out we're doing.
Kathleen Quirk: And John, I know you know this, but as we're doing the oxide projects that really improves the value of the underlying sulfide resource, and we've got this great opportunity not only for the first initial project that we're completing next year, but additional expansion opportunities to the oxide and those are NPV positive projects and then just make those sulfides more valuable. So we're really, really, really excited about the resource there and again that could be a cornerstone asset for this company for years to come.
John Tumazos: Thank you.
Richard Adkerson: And I'll throw out a commercial. If you want to -- if you have any interest in the history of what's happened to Freeport and where we've gotten to I'm speaking to the Melbourne Mining Club in London at its meeting on June 20. So we're going to have a full discussion of how we got to where we are.
Kathleen Quirk: Thanks. Next question please.
Operator: The next question comes from Andreas Bokkenheuser. Your line is open.
Kathleen Quirk: Let's move on maybe we can come back to that one.
Operator: The next question is from Chris Mancini with Gabelli & Company. Your line is open.
Chris Mancini: Hi, everybody. Just so quick on Lone Star again. So the concept is that you don't necessarily have to strip all of the -- mine all of the oxides before you get to the sulfides.
Richard Adkerson: Yes we do.
Chris Mancini: Okay. And so with that…
Richard Adkerson: It's just like overburdened…
Mark Johnson: Just like Cerro Verde.
Richard Adkerson: Like Cerro Verde was, like all these other mines that are other companies in the industry too. They got to move overburden to get to the ore and it's just fortunate this overburden is leachable and now it's profitable.
Chris Mancini: But is it 200 million pounds a year and then you have -- is it 5.6 billion pounds of oxide ore and so wouldn't that be a really long time before you get to the sulfides?
Richard Adkerson: It's expanding, yeah, and you know and we could -- we can make investments in facilities to shorten the life of the oxide ore. Right now it's designed to use the facilities at Safford, which are available. But as we go through this process of understanding this sulfide ore, so understanding more about the oxide ore. So what we could do is scenario here, where the scenario if oxide ore does expand, build some new facilities, mine it out quicker shorten its life, get to the sulfide earlier.
Chris Mancini: Okay. So the concept would be what we would likely see would be first an expansion of oxide production at Lone Star and then you'd be defining the sulfides and just show us instead of say 200 million pounds a year for 20 years. It could be -- you could show us 500 million pounds for 20 years or something like that, which includes the sulfides?
Richard Adkerson: Or 500 million pounds for a shorter period of time. And during that time, you could then invest in the sulfide infrastructure and so forth at the same time. So it'd be a concerted project because this would be a major sulfide mine in how long Cerro Verde took us to red to…
Mark Johnson: From start permitting seven years...
Richard Adkerson: seven years. So all of this fits together.
Chris Mancini: All right. Okay. But the first step would be we would see an expansion of the sulfides and the capital needed for that more…
Kathleen Quirk: Essentially oxide right.
Chris Mancini: Sorry, right, right expansion of the oxides. Okay, guys. Okay, thanks. And then quickly just on El Abra so what…
Richard Adkerson: All I'll say is think about a company with that kind of core asset. Here we've got Morenci, Cerro Verde, Grasberg. They're not mines like this. I mean you look at the biggest mines in the world and now people have got things going on now there that are different, but the top 10, 12 mines in the world, Grasberg's the youngest. And to be able to take a company like ours and plug in that asset in that neighborhood with that kind of ore with what we're good at that's a huge deal.
Chris Mancini: Yeah, I agree and it's low tax, I mean no taxes like you said, and also…
Richard Adkerson: 40-plus percent taxes in Indonesia and damn near that much in Chile. Zero tax. That's a lot of money.
Chris Mancini: And then – yeah, and also as you expand the oxide you should be able to get benefits from economies of scale at Lone Star. So the unit cost should decline, so yeah that's a huge…
Richard Adkerson: And by the way, there's a big sulfide deposit under Safford.
Chris Mancini: Right. Okay. Yeah.
Richard Adkerson: All of that comes in. It's a district. I mean, this is not just, I don't know it's exciting. I know people are worried about China and this two-year transition. We should take a longer-term view of this company, and we really, we really have some great assets.
Chris Mancini: Yes. It's fantastic. Okay, great. And then on the El Abra expansion, what are you waiting for there in terms of committing to doing that? Do you need to do more engineering or is it an issue with your partner Codelco needing to…
Kathleen Quirk: We're doing some value engineering to try to bring the capital cost down and at the same time moving the studies along for the U.S. projects, because what we're wanting to do at the end of the day is compare the economics and pluses and minuses of the various projects and rank them sequence them. So really we're aligned with our partner and taking this time really try to improve economics, while we look at these other options in the U.S., where we are doing work to try to develop concentrating facilities at a lower capital intensity than what's been done historically. So we're taking this time to improve economics, reduce capital intensity, and drive values, while we're ramping up Grasberg and watching this market situation.
Chris Mancini: Okay, great. Thanks a lot.
Richard Adkerson: Thanks, Chris.
Operator: The next question comes from Michael Dudas with Vertical Research Partners. Your line is open.
Michael Dudas: Hey, thanks for squeezing me in. Just one question. So as you think about Freeport and looking at investments going forward, and looking at the industry and what you've talked about out in Chile a couple of weeks ago. If Freeport was two years out 2021 and Grasberg was humming and everything is doing well, would you be changing how you think about capital allocation investment in the business given where copper is at $2.85 $2.90 today. And do you think others in the industry are going to be still rather cautious in bringing up and making some investment decisions on these expansion projects? Or do you sense there's going to be an acceleration because of this perceived gap that everybody is pointing towards five years, 10 years from now?
Richard Adkerson : So I can see a range of scenarios between what you just said, but you start out with a base of saying, despite we're seeing this time last year everything was rosy. It changed in the summer with the trade war stuff and then everybody started raising questions about China. Now China is taking steps to use its tremendous financial resources to stimulate its economy to offset the weakening consumer export business. They're investing in infrastructure in the country. They're revamping the one belt one road thing, and that's good for resources. So -- but there's all these questions about what's going on globally. Economically, the political situations complicated everywhere around the world. And so everybody's stepping back and thinking about how that's going to unfold? And you've got, I guess, I've lived through maybe three generations of CEOs in this industry, and you've got history of companies that have been on the burden of making bad investment decisions or strategic decisions, so you've got a structure of where boards and managements are understandably conservative about what they're going to do, that's all going to be good for the outlook for the commodity. And then just the resources are very limited. And so I really think this two years from now where we're going to be and I'm really looking forward to being there as I'm happy to be where I am now, but two years from now things are going to be better. We're going to be in a position to generate a lot of cash, and I'd love to return cash to shareholders. That was a lot of fun and get back to that as we look for chances to invest. And it's kind of like history repeating itself. That's where we were beginning 2010 going in 2011. And so I think it's going to be a time of generating cash, really getting the balance sheet strong. I was happy with zero debt, and -- but be real disciplined about it the way we would approach to allocating capital. We've got some great projects. There's trade-offs that build in the lot of factors, and it's not just looking at the resource and grades, but the required capital, the tax structure, the energy cost, features and then the water accessibility and cost. All of the things will come into play. So I think where you see will be in a scenario with reasonable commodity markets success and execution in the last two years of generating cash, reducing debt, returning cash to shareholders to disciplined growth.
Michael Dudas: Appreciate your observation Richard. Thank you.
Operator: Our last question comes from Lucas Pipes with B. Riley FBR.
Matt Key: Good afternoon everyone. Matt Key here asking a question for Lucas. Just a there's been some reports about two landslides during the quarter. And I wanted to ask you if you maybe be able to provide a little bit more background on that. Thank you.
Richard Adkerson: Well, we haven't had a land -- well, let's see…
Kathleen Quirk: He's talking about I think about the mill.
Richard Adkerson: The mill.
Kathleen Quirk: Mark…
Richard Adkerson: Well, let me set the stage. And then Mark's here to talk about it. So we had a real tragic accident in our overflow delivery system at Grasberg and this was a real heartbreaker for all of us, because we have a -- as part of that system we've had ore passes that we've used now for over 20 years where the ore is mined, crushed, conveyed to ore passes at the Grasberg mine level -- operations level. And it goes to these ore passes 600 feet, where it's dropped and to the mill...
Mark Johnson: That's 600 meters.
Richard Adkerson: 600 meters sorry Mark 600 meters then where it's dropped at the mill level and we've had series of these ore passes over the years. They operate it very well generally and we had an accident of where some ore got hung up in one of the ore passes. Two of our workers were in an unfortunate position and we're trying to examine why they were, where they were, but efforts were made to free this ore. It broke loose and covered these guys and they perished. And here we are with a system that literally maybe two months from now would've been retired and we hadn't had any accidents like it. So it's really sad situation. So that's one case which you maybe describing as a landfall, but that was an issue with our ore pass system. Then at our -- in the area that's above our mill, we did have some landfall events. This has always been an area of concern. You may have seen pictures of it, but this is a massive industrial development done in a challenging place with high elevation around it. Heavy rainfall and severe elevations. And over the years we've had a couple of cases of where we've had ground give way, particularly in times when it rains and dries out. This happens all around the island. It's not just where we are. But we had -- we've had a couple of events that have occurred recently there no one's got hurt hasn't been major impact of damage to our equipment -- we've had to do some cleanup, but this is things we've encountered in the past and sort of kind of part of what we actually deal with then physically where we are. But we haven't anything else. Red have we – Mark, do you have anything to add to that or?
Mark Johnson: No. The one about the mill it was just as you said we're in this very deep steep valley of the mill. Facilities are tucked at the bottom of it. We had a natural event. It was about 900 meters above our north-south mill and very small amount of material, but it came down unexpectedly. It's very difficult to predict these natural events. They came down, we were fortunate that it buried the road near our stockpile. We've been continuing to manage that over the last month or so. It hasn't shown any activity. We built some barriers around any of the areas that we have people working below and continue to assess the situation.
Richard Adkerson: Yes, and Mark makes a good point. It was a natural event, unrelated to mining. That mill has been there since 1972. It's been expanded massively over time. I don't know if it still is but back when I was managing insurance, it was the largest single site insurance risk and we haven't had any major -- with operations now for 40 years, we haven't had a major catastrophic event in any fashion there and this is certainly far from that.
Matt Key: Got it. Thank you for that detailed response. And just one more for me if I could squeeze it in. We've seen a lot of large M&A take place this year in the mine space albeit on the pressure side with one included an unsolicited offer. Do you...
Richard Adkerson: You're calling gold precious?
Matt Key: Do you have a view on M&A kind of in base metals and do you consider an additional defenses given your current valuation in the market? Thank you.
Richard Adkerson: So M&A is coming in the base metals business. Companies are large with great balance sheets. Every company's got its own story, so there's issues that might be barriers to it. But when you have a situation of limited resources and great assets and scarcity of assets. I think it's just inevitable that things will happen. Defenses, we don't have any extraordinary defenses. We're going to take actions to make sure our shareholders are well represented. We don't think now is the time to consider things like that and I will tell you my judgment is. It's not likely to be an immediate issue because of the circumstances of the industry. But the facts are as you can't predict M&A and I mean we're a great example of that. We were a company that had very limited access to capital and then Phelps Dodge presented itself we had action and things happened. So it's going to be driven more by circumstances and opportunities and not something that you can totally plan in for.
Matt Key: Got it. Thank you for that color and best of luck going forward.
Richard Adkerson: Thank you very much I appreciate that. Appreciate everybody's being on the call and we look forward to reporting you on our progress as we go forward and to the rest of this year. Thanks everybody.
Kathleen Quirk: Thank you.
Operator: Ladies and gentlemen, that concludes our call for today. Thank you for your participation. You may now disconnect.